Operator: Good morning and welcome to today's conference call to discuss Crestwood Equity Partners' Third Quarter 2019 Financial and Operating Results. Before we begin the call, listeners are reminded that the Company may make certain Forward-Looking Statements as defined in the Securities and Exchange Act of 1934 that are based on assumptions and information currently available at the time of today's call. Please refer to the Company's latest filings with the SEC for a list of risk factors that may cause actual results to differ.Additionally, certain non-GAAP financial results such as EBITDA, adjusted EBITDA and distributable cash flow will be discussed. Reconciliations to the most comparable GAAP measures are included in the news release issued this morning.Joining us today with prepared remarks are Chairman, President and Chief Executive Officer, Bob Phillips; and Executive Vice President and Chief Financial Officer, Robert Halpin. Additional members of the senior management team will be available for the question-and-answer session with Crestwood's current analysts following the prepared remarks.Today's call is being recorded. [Operator Instructions]. At this time, I would turn the call over to Bob Phillips.
Robert Phillips: Hey. Good morning. Thanks, operator and thanks to all of you for joining us today. We are certainly very pleased to report another great quarter here in the third quarter of 2019, also want to provide you with an update on our expectations for the remainder of the year and provide some preliminary insight into our 2020 outlook.It's certainly an exciting time at Crestwood, we have got great momentum as a Company in all the areas that we operate. I want to highlight four things that come to my mind year-to-date 2019. Number one, our business continues to exceed internal and market expectations quarter-after-quarter. I think we have proven this management team can set lockey goals and deliver on those goals.Number two, our project are being completed and as expected with great safety performance. Safety has always been our top priority, but when you have an active campaign going where you have got a lot of construction people in the field in multiple areas to deliver the kind of safety performance we have is exemplary performance in the midstream space.Number three, our operating costs continue to decrease as margins improve. I want to highlight there the great job that our PRB operations team has done in transitioning operations away from William starting in April of this year, last six months by our calculation operating costs per unit are down about 27% compared to a similar six month period last year under the previous operator. So operating costs continue to decrease and margins improved across all of our assets.And finally and most importantly number four, we are beginning to see real volume ramp up and cash flow ramp up in the Bakken, Powder and the Delaware and that is delivering great investment multiples and we think peer group leading financial metrics. So that is the bottom-line for year-to-date 2019.On last quarter call, we said that third quarter was going to be a very important inflection point in the cash flow trajectory of Crestwood and I'm pleased to announce that this quarter we achieved that key milestone with the adjusted EBITDA of $141 million that is a 39% year-over-year increased and distributable cash flow of $83 million and that represents a 60% year-over-year increase.We will talk about it in more detail, but this as a direct result of the three year capital program that we have had. At these cash flow levels, I would point out to you that we are delivering very healthy coverage at 1.9 times and leverage of 4.2 times respectively and our target remains below four times in 2020.Our third quarter results, I think also highlight the value of our diversified portfolio of midstream assets with our gathering and processing and our marketing supply and logistics segments having great quarters again as they have all year long, and that leads us to the upward revision of full-year 2019 adjusted EBITDA in the range of $525 million to $535 million and that is a slight increase from our previous guidance, with a midpoint of about 2% to a revised $527.5 million.So very pleased that we continue to push upwards throughout the year, expect the close with a solid fourth quarter, we have good visibility into that and so we are revising guidance upward and that will give us momentum into 2020.Let's look back on 2019 a little bit, I want to credit our continued our performance so far this year, really on four things. Number one, financial discipline with balance sheet, credit - Robert and the finance team doing a great job so far this year, keeping us within the guardrails that we set early in the year with the budget.Number two, solid partnerships with our joint venture partners, I think you all remember that we were one of the first in the industry to use joint venture partnerships to help finance and expand commercially our competitive positioning in the regions that we operate and that is been an important part of our success and will remain so.Number three, strong execution on our key 2019 capital projects by the field operations team, our great technical services, our safety team and our commercial teams all working together to deliver these projects as we expect them in the budget.And then finally, number four, and I witnessed this last week and I will give you a little color on it and that is the collaborative relationships that we have with our customers on both sides of the midstream value chain, whether it is G&P, storage and transportation, or downstream as a refinery _____ well with our MS&L Group.We have great relationships with our customers. I witnessed that and I was impressed by that in our recent Arrow Customer Meeting that we had in North Dakota last week, where we all jointly focused on very efficient use of capital. We all know that we are going into a capital constrained period in 2020. And I was just really impressed with the collaboration between our guys and our customers teams to make efficient use of capital.And also our joint commitment to the environment and to regulatory compliance. We spent a lot of time focused on making sure that we keep flaring below the minimums and that we all coordinate our efforts to make sure that the gas production on Fort Berthold Indian Reservation represents the best gas capture program in the State of North Dakota. I was very impressed with that.I think collaborative relationships we have with our customers ensures that we are going to provide great customer service that we get repeat business with these guys, provides best-in-class flow assurance, reliability is very important to producers. We are showing improving netbacks particularly in the Bakken and we have got plenty of future capacity for long-term growth and that is true in all three basin.So, we have built out the backbone systems in the Bakken, the Delaware and the Powder and so they have got plenty of room to grow and they know that and they are going to be working towards that with their developer plans over the next couple of years.I'm also proud of the Crestwood culture that we are developing here, focused on the vitally important ESG sustainability initiatives those include employee and contractor health and safety, minimizing our environmental impact, reducing our footprint and increasing the social investment in the communities where we operate and where our employees live. We have made great progress in 2019 on that and we will make even better progress in 2020.So, as we near the end of 2019, let me give you a status report, on our three-year capital expansion program we have been talking about this for several years. We have been articulating the amount of capital we are spending and where we are spending it in the projects and what impact will be and.I'm pleased to say that we are within one quarter of being finished with this program after three years and I can't tell you how proud I am of the organization, which if you will recall that you have been with us from the beginning, we built this Company around M&A, but about four years ago, we transitioned and built a great organic project-management team.We have managed these projects, we have designed them, we have negotiated and built them all on our own and I think the team has done a great job. We are nearing the end on a net-net basis we stood about $1 billion of net growth capital on the projects and with the JV contributions in the areas where we have JV ownership.And we are building out vital long-term infrastructure assets in the Bakken, the Powder and the Delaware basins and we are building out these critical midstream assets in support of very clear visible long-term supply development plans that our customers have, we have very large dedicated acreage positions in some of the most core areas of the most economic and productive shelf place in the industry.And again, that is the Bakken core on the FBR, Southern Powder River Basin and the deep play where the turn and [indiscernible] are prolific and as each quarter goes by, we see bigger and bigger wells and better and better economics on a normalized basis for those producers.And then of course near to Delaware where we have got 100 mile 20 inch pipeline system with big gathering systems on either end and that is absolutely the richest part of the Delaware. So we are building assets that are going to be there for 50 years gathering production is going to be there for longer than 50 years. So we think we are in a great spot with this three year build out program.Our producers are clearly having a great 2019 also as reflected by the record volumes that we are posting in all three basis and we believe and if you do the work on it, you will see that our producers believe they have years of undrilled inventory yet to develop around this backbone capacity that we have built over the past three years.Just to give you some context since the end of 2016, our three your capital expansion program has increased our high and low pressure pipeline infrastructure by 32% up to 2200 miles of pipe in the ground. our guest processing capacity has been increased by 90% to 1.2 BCF a day, significant production of NGLs.And our MS&L team has done an incredible job of marketing to the best markets available providing flow assurance to our producers and our plants and in some cases actually improving on the netbacks and we think netback margin improvement is going to continue throughout the fourth quarter of this year and into 2020.Our gas compression capacity, we are largely a gathering and processing Company that takes little pressure gas and compresses it into the Nation's pipeline capacity. Our compression capacities is up by 37% to over 550,000 horsepower of compression. We are a large gathering Company in every sense of the word.As a result of all that, our gas gathering system capacities have increased by about a third to 3.5 BCF a day. Our crude oil gathering capacity is up 20% to 150,000 barrels a day and our produced water disposal and gathering capacity has grown dramatically up over 200% to 125,000 barrels a day.This is a monumental expansion program by any measure and it positions Crestwood and our partners and our customers with ample capacity for years of growth with only modest maintenance and well connect that capital required to handle expected increasing volumes.Taken as a whole, we think the program demonstrates again that Crestwood has achieved meaningful scale in the last three years in the areas that we operate. We have made prudent investments in the right areas, we have been able to maintain our balance sheet discipline and it provides our current and our future customers with significant capacity to grow we are at a really good spot in the history of Crestwood.Our expanded systems also support Crestwood and our customers joint commitment to sustainability by taking a significant number of trucks off the road and significantly lowering emissions from reduced flaring in the areas that we operate. We take this seriously and we are among the industry leaders in reducing emissions and reducing flaring in the areas we operate.Importantly, to our investors, each dollar invested as followed a very strict criteria to maximize returns and the big [ah, ah] (Ph) here is that 2017 to 2020 with that billion dollar net investment, we expect to grow cash flow by over $225 million a year, driven by this expansion program and we think that provides very impressive return on invested capital and cash flow multiples of approximately four to 4.5 times. This is the way you deliver a pretty DCF per unit to investors in MLP world today.So now that we are nearing the completion of the major build out program, our 2020 capital budget is not insignificant, but as we have been signaling for the last couple of quarters it is significantly lower than it has been. We are expecting right now to decrease capital spending to a range of $100 million to $150 million a year in 2020, that compares to about $425 million of $475 million in 2019.Just a little bit of color on our 2020 capital program. These are currently identified projects. Obviously, we have a very competitive business development team that is out there, looking hard, working hard for third-party production and additional expansion opportunities, but these are the identified projects that we see today.We will focus that capital on completing the Bucking Horse II processing plant, which will be finished in the first quarter of 2020 and will be largely finished with gas processing in the PRB for a long time. We have got a lot of excess capacity and there is a number of producers in that region that we use 2020 to increase their delineation program in areas surrounding our core Chesapeake acreage dedication.We will also be continuing to expand the Jackalope gathering and compression system with expansions throughout the year. We have got three compressor stations projects that are underway and are almost complete, but will be completed at various times throughout 2020 and those will add to the effective capacity we have gathered processed gas there.And we are going to continue with our expansion program on the Bakken Arrow produced water system and I just might point out that we are very, very close and will complete in the fourth quarter, what we call the [indiscernible] wells, which should add 25,000 to 35,000 barrels a day of additional water gathering and disposal capacity that capital has largely been spent.That project is almost complete, we should be bringing it into service within the next couple of weeks, and that will drive a lot of the produced water system, capital expansion in 2020. There is still a significant amount of water on reservation and we need to get those trucks off the road. So, we are going to emphasizing Arrow produced water expansion in 2020.Most importantly, I want to remind our investors that we have exceptional well connect agreements with our producer customers and that is really going to benefit us in 2020. It meaningfully limits the amount of capital that we have to spend to bring new wells online and let me just remind you, in those three areas, in the Bakken, our well connects are 100% reimbursed by the producer.In the Powder River basin, we are reimbursed for connections longer than 600 feet that is basically the hot tap and a meter run. And in the Delaware Basin, I want to remind you that our CP JV joint venture structure buffers Crestwood’s balance sheet from large capital requirements there and that system is largely built out in what I predicted 2020 are just more interconnections to third-party systems to be able to compete for gathered gas to process given the competitive advantage we now have that our CP downstream NGL contract is kicked in really gives us quite an advantage in marketing and processing capacity.So in all three basins we are largely protected from our well connect capital and that contributes to the much lower capitals and forecasts that we have for 2020. As Robert is going to point out spending $100 to $150 million allows us to get the free cash flow very early in the year and supports our primary financial metric of getting our leverage sub four times in 2020.Before I hand the call over to Robert, let me just take a moment to thank the Crestwood employees, all of our business partners, our joint venture partners and our contractors, and tell you how proud I am of the entire organization and their efforts to produce another standout year for Crestwood.We challenged our operating teams to come in with 10% lower costs and they have just absolutely demolish that number in our operating results so far this year, we are really proud of how the team has focused on productivity and improved efficiency and not only the way we operate the services we provide, but the amount of capital and dollars that we spend on operating side.We have talked a lot about the project management teams delivering these projects, as expected in the budget and as our producer customers expected in 2020, we are going to continue that, but we are going to benefit from that key inflection point in the third quarter, where we begin to see volumes and cash flow significantly ramp up to provide these kind of industry leading metrics that we are talking about in 2020.And I do want to highlight and again, Robert will talk about it in more detail that our primary financial objectives in 2020 will be to become free cash flow positive in the first half of the year. We think that is going to be attractive to investors and think you will be able to see that reflected in our stock.If we do that we will certainly be operating at sub four times leverage with coverage at two times or above and that is going to give us a lot of financial flexibility. These are milestones for us and we are going to aggressively pursue those milestones in 2020 like we have the capital plan over the last three years. It sets the stage for us, we think to execute a best-in-class capital allocation strategy.We have talked to many of you about this overtime, continue to still fund creatively, our capital projects will reduce our leverage when we have excess cash flow, we will start thinking about distribution growth as long as it is stable and it is permanent and we will have the potential for common and preferred unit buybacks. We know that each of those categories is important to different stakeholders that we have.But most importantly we are going to evaluate each one of those opportunities very opportunistically with a goal of maximizing returns for our unit holders. We are still an MLP and we are proud of it. We don't mind being small, but we want to be the best small MLP out there and I think 2019 setting a great platform as we will into 2020.So with that, happy to turn it over to Robert, our CFO for the third quarter financial review and a comment or two on the balance sheet, and maybe he can now transition us into Q&A. Robert.
Robert Halpin: Great. Thank you, Bob. The third quarter has been another very strong quarter for Crestwood driven by continued execution in our gathering and processing segment as well as our marketing supply and logistics segments.Our third quarter 2019 adjusted EBITDA was $141 million that is up 39% year-over-year compared to $101 million in the third quarter of 2018. Our distributable cash flow was $83 million that is up 60% year-over-year, compared $52 million in the third quarter of 2018.For the third quarter 2019, our general partner declared a distribution of $0.60 to our common unit holders, resulting in distribution coverage for the quarter of approximately 1.9 times. In our gathering and processing segment, EBITDA totaled $99 million in the third quarter of 2019, that representing an increase of 27% over the $78 million that we reported in the third quarter of 2018.Third quarter of 2019 segment EBITDA growth was driven by the in-service of our Bear Den II processing plant in Bakken, which compared to with the completion of the majority of debottlenecking projects led the way for increased volumes across all three products on the Arrow System, partially offset by some declines in our legacy natural gas basins.Our storage and transportation EBITDA totaled $17 million for the third quarter of 2019, on average volumes of 2.2 billion cubic feet per day. This represents an increase of 15% over $15 million of EBITDA that we reported in the third quarter of 2018.On July 1st, Crestwood began receiving a 50% cash distribution from Stagecoach gas services, which represented the final step up in the agreement with our joint venture partner, Con Edison, and at the COLT Hub, the facility benefited from the in-service of the Bear Den plant as it saw additional demand for NGL loading and storage services.Our marketing supply and logistics segment EBITDA totaled $26 million for the third quarter, driven by record NGL production, driving higher utilization of our NGL storage, trucking and rail terminal assets, coupled with our marketing team's ability to successfully capture the value of wider seasonal spread resulting from softer NGL pricing during the summer inventory build season.Now, moving to the balance sheet. As of September 30th, Crestwood had approximately $2.3 billion of debt outstanding, including $1.8 billion of fixed rate senior notes and $498 million of outstanding borrowing on our revolving credit facility.Leverage as of September 30th was 4.2 times, and Crestwood remains committed to long-term leverage of 3.5 to four times, a target we expect to achieve by mid-2020. In the third quarter of 2019, we invested approximately $139 million in consolidated growth capital projects and joint venture contributions primarily focused on the Bear Den II plant in the Bakken and the Bucking Horse II processing plant in the Powder River Basin.As previously communicate, Crestwood intends to continue to fund its growth capital needs through excess retained distributable cash flow, availability under our revolving credit facility and proceeds from any potential non-core asset divestitures.Now looking forward to 2020 as Bob mentioned in his commentary, we expect to invest between $100 million to $150 million in growth capital almost exclusively in our key growth areas of the Bakken Shale, The Powder River Basin and the Delaware Basin.Crestwood will continue to maintain a close dialogue with our customers, to further optimize our capital spending as they finalize their 2020 plan. And similar to 2019, we expect to fund our 2020 capital program with 100% of our gain at capital spend covered with excess retained distributable cash flow.The third quarter of 2019 has been another very successful quarter for Crestwood. Consistent execution year-to-date has positioned us to tighten and increase our adjusted EBITDA guidance for 2019 and sets us up for a clear path in 2020 to generate substantial free cash flow, achieve our long-term leverage objective and position the Company to begin executing our strategy to optimize returning capital to unit holders.With that operator, I will now turn the call over to questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator instructions] Our first question comes from line of Tristan Richardson with SunTrust. Please proceed with your question.
Tristan Richardson: Hey good morning guys. Just curious, we appreciate all the commentary on priorities for cash flow and the timing of the shift to free cash flow positive seems like leverage is the primary financial objective next year at the point where you are comfortable maintaining that sub four times level, where do priorities shift for free cash flow at that point?
Robert Phillips: Thanks Tristan. I think it's really kind of as we continue to stay and our primary objective long-term is to maintain our balance sheet strength, as we have talked about, we feel very comfortable in the 3.5 to four times range given our capital needs and how our business is positioned with the excess capacity we have in our key growth basins going forward.And with the excess cash flow that we plan to build was roughly two times coverage in 2020. We begin to look hard and how we can optimize returns to our investors through returning capital. We will always have the continuation of pursuing highly attractive, high return [indiscernible] opportunities around our portfolio and we will certainly expect to capture our fair share of those and allocate capital towards those.But I think beginning in 2020 looking at how we can optimize returns through some form of distribution increase as well as potentially opportunistic buyback of units is how we would think about with any excess above and beyond our organic capital -.
Tristan Richardson: Helpful, thanks Robert and then could you talk a little bit about maybe loosely bucket the 2020 CapEx budget between your three growth areas, I know you kind of highlighted a project at Jackalope and three other compression projects just generally high level how to think about that 100 million to 150 million?
Robert Phillips: Yes, of the 100 million to 150 million I would say it's probably about 40% Bakken, 40% powder river and the balance to Delaware, Permian rough numbers.
Tristan Richardson: Perfect. And then just last one for me. Just opportunities you guys seeing in the Permian we are thinking about weighing your Chevron deal that came online and just generally narrowing basis for residue gas, against a broader backdrop of general pullback. Can you talk about customer plans or to the extent these market developments have opened up the valves for your large customer?
Robert Phillips: Yes, Tristan that is something that we monitor very carefully and as you know we are just at the end of October. I haven't even gotten into full budget season yet for our producers. They are pretty mindful of commodity prices before they finalize plans, which based on our experience typically is - even as late as January.I think everybody would be talking to their Boards in November about preliminary views on capital, as I mentioned, we just had a Bakken Producers Meeting and there wasn't a single producer there that had finalized their 2020 budget yet. So, having really good conversations.In the Delaware, a couple of things that I would point you to. Number one, our biggest producer is Shell and Shell like most majors has a tendency to drill through commodity cycles and is not really as impacted by short-term price constraints like we have witnessed with natural gas prices just in the last couple weeks.Having said that, we are watchful on commodity prices out of the Delaware for all three products oil, gas and gas liquids. On the oil side, which is the primary economic driver of the basin and drilling activity, we believe there is ample oil capacity and the basis is trading reasonably right now, is that correct Rob?
Robert Halpin: That is correct.
Robert Phillips: So, no real impact there. On the gas said, I mentioned there has been a recent downturn in net gas prices in the Waha region notwithstanding the fact that Gulf Coast Express just winning the service. The forward markets tell us that it is largely build up or is building up. And so, in the ford market, there is a little bit basis change for natural gas.Having said that, natural gas liquids despite the low commodity prices, have remained reasonably stable throughout the year. In other words, the basis differential or the T&F, the transportation and fractionation you have pay to get wide grade from the Delaware to the Gulf Coast been reasonably stable.Our Chevron Phillips chemical contract provides us with a better than market T&F, it is a long-term contract with the increasing volumes starting January 1st of 2020 and it's going to enable us to be more competitive as gatherer and processor to attract volumes into our plant and pass that strong NGL netback price on to our producers.We believe that, the combination of stable oil price netback inhibition and a stable NGL price netback inhibition , which for most of these production area, we operate probably 75% to 80% of the total barrel, we think those economics will prevail throughout 2020, and while there may be some softness at the beginning of the year.I think throughout the entire 2020 year we are going to have equal to or greater supply development activity in the areas that we operate and we have got excess capacity at Orla and we are going to be aggressively competing for volumes from the major interconnects that we have completed in the second half of the year with a fairly optimistic view that our producers are going to drill throughout the year on a balance basis.So, we don't see any near-term impact on volumes and don't see any near-term impact on drilling, but if I have to gas for the small independent producers, there will be a pullback in the first half of the year, and that will probably improve in the second half of 2020 as more capacity comes online. That is probably more than you wanted to know, but you asked me what time it was, so have I told you how to build a wash.
Operator: Your next question comes from the line of Elvira Scotto with RBC. Please proceed with your question.
Elvira Scotto: Hi good morning everyone. Just a follow-up on the growth CapEx question, the preliminary estimates of 100 million to 150 million for 2020. Thanks for the detail that you have provided, but how much of that growth CapEx is from projects that you are still completing versus some of the expansions that you that you mentioned, and then how quickly can you change that CapEx if producers do pullback activity?
Robert Halpin: Yes Elvira, I think my breakdown of being roughly 40% Bakken, 40% Powder and the balance in Delaware, Permian. If you look at the composition of that, I would say Bakken is largely all new build expansion. So new projects largely focused on the water side of the business as Bob mentioned in his commentary.The Powder River Basin is predominantly focused on finishing the Bucking Horse II plant and then the Delaware basin component is largely well connect capital, well completion capital Shells ongoing development plans around our Nautilus system.So if you break those three buckets down, I think there is tremendous ability to optimize our water spend in the Bakken, but given where we are on that system and the amount of water that is behind pipe today, I don't expect we will curve any of that given where our producers are and what we expect to be their development plans heading into 2020.In the Powder River Basin, as I mentioned, most of that is just completion of the Bucking Horse II plant which will go in service in early 2020, but that is largely committed to and we are going to get that plant done to have that capacity available for Chesapeake and other third-parties that we have talked about that we are actively pursuing.And then the last one, well connect capital, obviously that is 100% driven by the timing of well completions and how that development plan ultimately pans out. But as Bob mentioned, show is pretty fixed in terms of what they plan to do long-term.
Elvira Scotto: Thanks, that is helpful. And then just on the marketing supply and logistics, you increased EBITDA guidance of 65 million to 75 million from the 55 million to 60 million previously. Is that just a 2019 phenomenon or how should we think about run rate EBITDA in marketing, should we still think of that as closer to 55 million kind of going forward?
Robert Halpin: I think the outlook - a little bit of our business kind of what the team has accomplished over the last call it 12 months to 24 months, what transpired in the market this year and kind of we are positioned heading into 2020 to really understand kind of full perspective on that question.I think generally speaking, we saw our market opportunities in 2019 that the team successfully captured that we don't believe will be repeatable year-in, year-out, has driven the degree of outperformance that we have seen.That said, I think we also believe that our businesses, as we built out the platform as you build up the capability and are now marketing around some of our hard assets that we have scaled up in the Bakken and elsewhere, we probably see the baseline that business being in excess of 50 million to 55 million that we guided to at the beginning of this year.Still finalizing our plans to the outlook, but I think we are going to see outside of that on a sustainable basis in 2020 and beyond, but probably not to see the same degree of dislocation that we saw this year that we captured to the upside. Johnny, can you expand upon that?
John Powell: Yes, I think we just had a couple of things particularly in the third quarter here. I mean we had record high inventories larger than normal carries that we saw that we were able to capture and I think the team executed extremely well on that.In addition to that, we had a little bit of market consolidation out there particularly in the space that we are in and so we are able to continue to grow from that standpoint. And also as they alluded to you know the increased GMP activity on volume across the platform.You know, we are running a very well integrated platform, and we spent over the last three years really trying to create a much more integrated platform, implementing a lot of efficiency gains, providing scalable activities particularly as we knew these volumes would grow up.And I think that is really the diversity of having good supply and logistics platform across the U.S. And with that, we are going to maintain some of this momentum here to provide top quality service and pricing for both our producers and our consumers.
Elvira Scotto: Great. Thanks for that. And then just last one from me. So, in the press release and even in the press remarks you kind of talked about using the proceeds from any non-core asset sales to self fund to hit your leverage target et cetera. Are you in active discussion here with respect to potentially selling some non-core assets? And then, in addition to that, how are you thinking about the M&A opportunities or the landscape over the next 12 months to 24 months?
Robert Halpin: This is Rob. Right now, we are not in any active negotiations with investors. I think that comment is just that we will be opportunistic if someone values an asset more than we do, we would entertain that as a possibility to help us to further delever, but nothing active right now on the divestiture front.From an M&A perspective, I would say, it is not a priority here. When we talk about M&A, it has to check all of our boxes. The first has to be in our core basin. It has have appropriate return on invested capital and as Bob talked about in his comments, our organic capital has been about four to times multiples. So that is tough to compete for capital when you are looking at M&A.Additionally, it has got to be immediately accretive to us from a DCF per unit basis and its going to be financed in a way where its leverage enhancing or leverage neutral. So, when we look through those four wins if you will at acquisitions, we haven’t seen anything other than what we were able to do on consolidation at Jackalope that really hits all those metrics.And so, while we will continue to be active and look at opportunities, I think as I said it is not a priority and although we do find something that checks all four of those boxes and make sense for us, I think it is something that we will work hard on as well.
Elvira Scotto: Great. Thanks. That is all I had.
Operator: Our next question comes from the line of Kyle May with Capital One Securities. Please proceed with your question.
Kyle May: Good morning.
Robert Halpin: Good morning Kyle.
Kyle May: Maybe following up, I believe that was well and you had talked about consolidating the PRB from William, how are you looking at the landscape for your other JVs and how does that fit in your capital allocation over next one to two years?
Robert Halpin: That is a great question. We get asked that a lot by our investors particularly in a while once, because we threaded the needle on the Williams Jackalope deal and it worked out incredibly well for us, it wasn’t easy to not only brag a bargain within at a price that makes sense for both of us, but to finance that in a way that made sense for us.We did it. It was accretive upfront to us. It gave us the ability to take over operations. I have already commented that taking over operations in the Jackalope has resulted in we think about 27% reduction in operating expense comparing the six months that we have operated to the six months previously that they operated.We have also from dramatically improved the reliability of the system largely through reducing operating pressure that were parts of the system that we are running in excess of 400 pounds. The contract was a 90 pound contract, we are now in compliance across the system. We have done that by instituting a [pigging] (Ph) regimen that is much different than the previous operator had used. And so the result overall, is just better use of capacity and better reliability across the system.We are going to always look for opportunities like that. If we can buy somebody in the areas that we operate and operate the system better than they do, then that adds real value to the transaction. It's not just run rate volumes or forecasted growth times to margin.We are really good at operating systems and I think we have proven that over the last several years, we are good in taking over operations from other people oftentimes, these are people that have been in business for a long time. They just had a different way of operating.I think our focus is on the environment, it's on the public areas we operate in, it's on providing a great customer services. And if you do that you have got to be an efficient operator and you have got to be in tune with your producers needs and have a collaborative relationship. So these are the are the elements or the principles that we look at in a deal.Form a purely economic standpoint, we are absolutely invested in the three areas that we talk about over and over and over again, it is the Bakken, it is the Powder and it is the Delaware. We have identified and our business development team has identified and we continue to watch and monitor expansion opportunities where we can acquire assets.That would be bolt-ons through our existing systems and take advantage of taking over operations and seeing 27% reduction in operating costs and seeing that improvement in customer relations that leads to quicker well connect and higher volumes across the system and better flow assurance and higher netbacks for our producers.In our August Board meeting, we identified all those opportunities in the areas that we operate. We like the rock, we like our core assets as being a backbone system and we see numerous opportunities to acquire things and involve bolt them on to our existing system.Having said that, it is Will Moore's job to find those opportunities and be timely about it in working in combination with Robert and the finance team to be able to deliver something that checks all four boxes and grows our portfolio in a financially prudent and financially disciplined manner.So, well I’m not sure how much color you want to give, but we know in the Delaware, he Powder and the Bakken that there is other operators out there that might be opportunities for us. Do you want to talk about that?
Robert Phillips: Yes, real quick just to give that expression on the JVs. Obviously nothing in our plans on consolidating JV. I think the Permian is probably the most natural, that business needs to mature overtime and I think we will have an opportunity to work with our partner First Reserve there on what we do when they are ready to exit that. But nothing imminent there.So it is something that we somewhat control, but that transaction is going to get priced to the highest value and we may or may not be competitive there. On the other JVs that we are at we are happy to operate with our partners there and don't see any near-term consolidation on any of those.On the broader in many markets. I think Bob covered it, there we see opportunities in and around our footprint for consolidation and efficiencies that can be gained as these basins mature, but it has to go through the screen that we talked about and check all the boxes and right now there is still a disconnect between buyers and sellers on getting to appropriate values. And so, we are going to stay disciplined.
Robert Halpin: Having said that though Kyle, I would tell you that, and you guys can do the research. You just draw circle around our three core areas. There is other asset in those areas where the owner operators are over the their skies , whether they paid too much for it, as it is the case in most of the Delaware stuff or they over levered it as it is also the case there or there is just other reasons why it is an opportunity.We are going to continue to be very disciplined in the way that we think about growing our portfolio in these regions. And I think, from our standpoint it is a buyer's market. We have built a great balance sheet, we have got a lot of momentum as a Company, we can deliver industry-leading DCF per unit to our investors.And if we can extend our portfolio and lengthened out our inventory position in these three core areas where there is 50 years of supply development, then we are going to do that but we are going to do it at a price and a structure that makes sense to us.
Kyle May: Got it. It's a lot to chew on but a lot of good information. I appreciate it. May be one thing kind of switching gears to operations. In the press release you mentioned substantial room for future volumes on the Arrow System, can you just give an update on your expectation for our utilization of Bear Den II. And then maybe a broader look at profit and demand in the basin?
Robert Halpin: Sure. I think we can speak first is our comments kind of what we communicated. Obviously we have got as we commented in our Press Release today with Bear Den II going into service and getting fully lined out by the end of the third quarter, we are now gathering and processing 100% of the gas on system. We are seeing substantial step up in utilization as a result of that, and well completions keep coming.We had 83 wells connected year-to-date, we still expect to be around 120 for the year, and recent communication from a lot of our producers heading into 2020, as recent as our customer meeting last week suggest that the development is going to continuing and we are going to continue to see that step up in utilization. I think, we are still very focused on optimization of that plant. We expected that we will be probably up for utilization quicker than we would have otherwise thought, given the development plan.I think that we will first look at how we can optimize incremental available capacity in basin in around with other third-parties to make sure we are all being as efficient as we can with capital. But I do think there will be expansion opportunities above and beyond what we have in the plant longer-term to get out 2022, 2023 and beyond with the ongoing productivity we are seeing out of these wells.So, overall processing capacity of basin, I mean there are expansions ongoing. I think we were quick to get ours done very timely to be able to take all the gas off and put it on our system and meet our producers near-term demands. We think we have got good runway from them for the foreseeable future and we will continue to work closely with them on when the next slate of expansion is needed or won.
Kyle May: Alright. Great. Well that is all for me. Thank you.
Operator: Our next question comes from the line of Jeremy Tonet with JP Morgan. Please proceed with your question.
Jeremy Tonet: Alright. Good morning. Just want to start off with the guidance, as you had talked about it before, three year guidance going through 2020 of greater than 20% growth. Just wondering if you could update us there on your thoughts or maybe you could just talk about in general what type of per share growth, do you expect is a normalized level that Crestwood can deliver given the opportunities set ahead of you?
Robert Halpin: Yes, Jeremy, I don't think anything has changed relative to the through 2020 outlook. Obviously, that timeframe that outlook was largely centered around the capital investment program that Bob talked a lot about on the call, and the corresponding ramps in volumes and cash flow we expected from that.So no change, I think we communicated fairy close to 15 plus percent EBITDA growth rate over that timeframe from baseline 2017 year end 2020 and a 20% or north of 20% of growth and DCF per unit over that time frame. I mean as we sit today, I don’t expect there to be any change to that heading up 2020 and beyond.
Jeremy Tonet: Okay, great, thanks. And then maybe turning to the PRB, I was just wondering if you could touch a bit more as far as what type of growth you are seeing there. I think you had thrown out some numbers for cash flow before they expected fee and then the PR you are talking about being in kind of our late stage discussions with offset third party producers, wondering if you could expand a little bit there?
Robert Phillips: Yes, just a couple of notes and then we will have more information as we go through the year and work with our producers in the area. Chesapeake is years ahead of everybody else in terms of delineating, the geologic structure out there and understanding the geology of the turner formation and the Nibera.If you do the research on the material, they have that is public there is clearly a delineation of the turner formation into what I think is similar to the three windows of the Eagleford. There is a an oil from window, oil and rich gas window and the gasier window. As it would not surprise you they have been focusing on the oilier window in 2019 because that is where the best economics come from. Oil prices on a relative basis higher to gas prices out there.Having said that, they are still in a fairly early delineation phase of those different windows and to our surprise and excitement a reset well, a turner well that they drilled two wells, two well pad that maybe we thought was going to be in the oiler window winds up being in the oil and gas window, and gas production at 15 million a day out of two turner wells exceeded anybodies expectations. So that was very exciting new IP rate for a new pad that we just introduced into the system.We are spending a lot of time with Chesapeake right now to better understand their 2020 plans, in fact I have got lunch with Doug on Friday and we are going up there to compare notes. We have largely built out the system and as Robert said, we will finish up the Bucking Horse II plant in the first quarter and turn that on, we will see better recovery for NGLs out of that plant versus Bucking Horse I, which was built by way of several years ago.Different technology, so we will have better NGL capture and reliability out of that plant, so we will turn that on in February or March and they will get the benefit of that. We continue to add compression to the system to bring pressures down, to get the benefit of uplift and we have seen that, Jackalope we had record gas volumes in I think early October. What was that Halp?
Robert Halpin: 173 million.
Robert Phillips: 173 million a day. I mean, you guys can remember, the early part of this year, we were still sitting at 100 million to 120 million a day range. So they drilled a lot of wells and added a lot of gas production and a lot of oil production out there. It's too early yet to know exactly what they are going to do. I think they will message that sometime next week when they have their announcement and start to give preliminary guidance.And so, we don't have that information, but I can tell you that the offset operators who are under contract, an example of that would be Panther, we have two rigs running right now, have a couple wells down, they are about to complete here in the fourth quarter.And so, we will be able to see what kind of production they are going to have. We are excited about that, because just in the last few months, they have increased number of permits to 18. And so I think that is exciting news to us and we are beginning to have primary plans for what looks like it might be a pretty robust drilling program in 2020 by the Panther.Anadarko Oxy also as you know has the big acreage position and what we understand is their early 2020 delineation program, we think is focused on area that is closest to our gathering system. We have been in constant communication with them. We have discussed contract options for how we could get their gas into our system, and we are excited about the opportunity to provide services to Oxy if they have a 2020 drilling program there.So, I think overall, we are in really good shape volume metrically for the year. Our capital programs will be largely done by the end of the first quarter and then we will sit back and we will watch and we will wait and we will see what these producers can do with the netback prices that they are going to get in 2020.I know, a number of them have been hedging forward and so they probably got better economics than the current market we show. Hope that answers the question on what we are seeing going forward in the Powder.
Jeremy Tonet: Got you. That is helpful. Thanks. And one last if I could. Just want to see your thoughts as far as Bakken residue gas take away, how you guys see kind of supply demand there? Do you think that there is going to be enough takeaway to match all the processing plants that are coming online or how does that progress?
Robert Halpin: Yes. Right now, on the Bakken, we continue to see displays for Canadian gas coming down. I think in the next couple of years we will have ample takeaway capacity there. I know there is some rumblings in the industry out there. People are looking at other options. We will continue to monitor and you will see on top of it, the right now in the next couple of years we should have enough takeaway.
Jeremy Tonet: That is all for me. Thanks for taking my question.
Robert Phillips: Thanks, Jeremy.
Operator: Our next question comes from the line of Shneur Gershuni with UBS. Please proceed with your question.
Shneur Gershuni: Good morning guys. Long call today. Just a few questions, if you can believe there is still some left. Starting off, I found it interesting that you mentioned the preferred in your Press Release is one of the options for returning capital, is that something that is a priority or would you be looking for us to get upgraded to IG before you would look to take that out or given a high yield on it, that is actually a priority of something that you would want to direct capital towards?
Robert Halpin: Yes, Shneur. I think I wouldn't read too much into the comment there. I think what we are highlighting is that, our primary focal point is to first to generate the free cash flow. We are highly confident we are going to do that and then from there, we got a whole lot of optionality of how we can maximize returns to our investors through how we chose to allocate that capital.It will be a combination of self funding, the organic programs the one that is in the current backlog for 2020 and anything new that comes up and beyond 2020 it will be some form of distribution and then as we look opportunistically around optimizing the capital structure and investment in common and preferred.That is fluid and we have talked about that with our Board regularly at every quarterly meeting and even intermittent between them and it's something that we have the flexibility to capitalize on windows of opportunity popped off. So we don't have any predisposed or preconceived plan around what we would do how much we would do. We know we are going to be in substantial position of positive free cash flow and we are going to optimize that as we go.
Shneur Gershuni: That makes sense and do you expect to have discussions with the rating agencies about where you are rated right now?
Robert Halpin: We do, we have conversations with them throughout the year and one big annual update at the start of every year. I think given the three year performance of the business where we are trending and where we look to head into 2020 from a from a balancing standpoint, we will continue to press upon them the execution.I think we have got a really good working relationship, you know honesty our cost to capital on the debt side is pretty competitive right now. So I don't think we are too fussed about where we are. The market remains open to us and I think that really and honesty the greatest limiting factor is still going to be a scale dynamic with the agencies in terms of meaningful upward mobility. So we will always have a dialogue with them, but I think we are pretty well positioned right now.
Shneur Gershuni: Okay, and just two more questions, your CapEx number for 2020. Does that include an FID of [burden three] (Ph) I'm just sort of looking where your volumes are and so forth it kind of seems like that is something that should be on the horizon reasonably soon?
Robert Halpin: No, it's not. Everybody talk about the bulk of the capital in the Bakken for 2020 is largely focused on all the waters behind our system right now.
Shneur Gershuni: Okay, got it. And then finally, your comments about two times coverage for next year. Is that already assume that distribution increase or that is kind of where you are at, at this stage right now and can we think of it as an early indication of how you are thinking about 2020 from an EBITDA perspective, if we sort of back into what would give you two times coverage?
Robert Halpin: I think yes, yes and yes, all those. So I think it is in-line with the guidance we have given in the past around our 2020 outlook, and kind of the impact we expect from the capital project was executed on. We do expect to have some incremental return of capital through the distribution in 2020, it will be proven, and it will be consistent with our long-term strategy to realize our balance sheet objectives and to continue executing our business plan around our portfolio. So that two times is consistent - is inclusive of anything we would do on an incremental return to capital.
Shneur Gershuni: Perfect. Thank you very much and thank you for taking my questions today guys.
Robert Phillips: Thanks Shneur.
Operator: Our next question comes from the line of J. R. Weston with Raymond James. Please proceed with your question.
J. R. Weston: Hey thanks. Recognizing we are pretty late in the call here, so I will just ask one real quick. I was looking at the 2021 guidance for Jackalope, and I just wanted to be sure any development from Panther would be upside to that and that was - the guidance was really just originally driven by Chesapeake. Is that correct?
Robert Halpin: That is correct.
J. R. Weston: Okay. That works. Thank you.
Operator: Our next question comes from a line of Ned Baramov with Wells Fargo. Please proceed with your question.
Ned Baramov: Hey good morning. Real quick for me as well, thanks for taking the question. But just going back to the PRB any thoughts on additional OpEx reductions in the region, not that the 27% realized to-date is not meaningful enough. But mostly in light of the new opportunities you are pursuing for incremental dedications with the offset producers you talked about? Thanks.
Robert Phillips: No I don't think so on the operating side. I mean, we are going through the final stages of our 2020 planning process. The PRB teams had their arms around this asset for six months. It's is a look alike to the way we operate our Delaware system with big high pressure compression, high pressure, low-pressure system with a lot of compression at the well head and a big processing plan at the end, takeaways are similar.I think the operations are aligning themselves out right now. We might see modest improvement as we get a full-year, but I don't think we see things. What we are going to see though is potentially better netbacks for our producer as we get the new plant up in running, get better recoveries I think producer will see better netbacks.And then we are going to be very, very disciplined in the way add compression to this system going forward. In the past, I would say that a lot of compression was fit in bulk and I think the backbone of the system is largely built out right now. I think adding compression and laterals will be incrementally done as we see wells hit drill and pads be ready for first production.And so, that will be a difference in the way we efficiently use our capital more so than our operating expense. John, do you want to comment on anything?
John Powell: Yes. Thank you, Bob. Yes, absolutely. One of the thing that we are doing is as we are going out and developing additional compression safety that we talked about earlier in the call, we are tying them together. So, we can leverage each other so that will reduce our capital going forward and allow us to effectively move Chesapeake warrants and the other producers warrants across the system and lower the pressures immediately.
Robert Phillips: Yes and for design.
John Powell: Yes. There is some redundancy built in the system that will be effective for us from a capital perspective moving forward.
Robert Phillips: So, we could continue to see lower compression expenses, lower fuel, because we are optimizing the design of the system, which I think we think that it was not being done previously. That is all baked into our acquisition economics when we stepped up and paid a full price to Williams for their 50%, but I think we had these - efficiencies in mind. So, yes, we will see some savings from that standpoint.
Ned Baramov: That is great. Thanks. And maybe one more, could you just break out how much of the outperformance in upwardly revised guidance for the marketing supply and logistics segment is related to the in-service of the Bear Den II plant?
Robert Halpin: Not directionally I would say, you know Ned, we haven't really got into that granularity, most of that we are working on optimizing pricing for our producers due to pass through of the economics. So the team has done a phenomenal job of providing that flow assurance and making sure we can vacate all the liquids off of our plant in a certain period, while we work toward getting up creeks in service here in the fourth quarter when we will give all liquids to one. So, having given that specific granularity, the bulk of the outperformance I would say was the other factor we mentioned in the MSL segment.
Robert Phillips: Well, and our producers will see a netback improvement once we go online with Al Creek. We have got a fairly unlimited volume capability on that pipeline. We will get the trucks, rail out of the equation, and I think our producers could see as much as $0.10 to $0.15 of improvement just on their netbacks by us not having to vacate those liquids by truck, rail and terminal. And so it is important and I know that we just talked about that at our customer meeting, they will see a pretty good improvement in netbacks once we switch over.
Ned Baramov: That is great. Thanks for the time today.
Robert Phillips: Yes. Thanks Ned.
Operator: Our final question comes from a line of Selman Akyol with Stifel. Please proceed with your question.
Selman Akyol: Thank you. So just going back to the PRB for a minute. In the press release you guys referenced discussions with third party producers and I'm wondering, number one, when would you expect those to maybe come to fruition or have an outcome. And then number two, as you think about your 2020 CapEx guidance sort of the 100 to 150 if those discussions were successful, does that take you above the 150 or should we really think of the 150 is being a hard ceiling for 2020 is that allows you to pursue your other objectives.
Robert Phillips: John, go ahead.
John Powell: Yes. Hi thank you. Good question. The capital estimated for 2020 includes the third party opportunity that we are talking about. So we are doing conservatives in our guidance, in our upper range of our guidance and that is the 150 range.
Robert Phillips: Yes. Having said that, it's not meaningful capital. Because we have got existing compression existing processing capacity, all we are doing is just laying the lines and meter runs out to a couple of potential pads that are going to be thrilled inside our existing footprint.It's not a big stretch and it's not adding significant backbone capacity or adding compression that would otherwise be out - and it will all be incremental so that would be a great upside and if we can do it in like Halpin said we are being conservative in the way we are budgeting that capital so that is already included.
Selman Akyol: So then correct me, I think about the 150 is really a hard ceiling is what you see for 2020 as of right now?
Robert Phillips: As of right now that is correct.
Selman Akyol: Very good. Thank you.
Operator: Mr. Phillips. I would now like to turn the floor back over to you for closing comments.
Robert Phillips: Thank you very much operator and we have gone too long. But we appreciate all the great questions and the interest in Crestwood’s performance. I want to thank the employees again for delivering yet another great quarter.We will close the call with saying go Astros and look forward to meeting with you again in February timeframe to give you more specific information about our 2020 plan, but hopefully if you paid attention and do the work you get a really good idea as to what next year is going to look like for Crestwood.So hope we have answered that, if not call Josh in our the IR team and you will have more answers. Thank you very much operator and thanks to all of you for joining us this morning.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your life at this time. Thank you for your participation and have a wonderful day.